Operator: Greetings and welcome to UDR's First Quarter 2021 Earnings Call. [Operator Instructions]. It is now my pleasure to introduce your host, Director of Investor Relations, Trent Trujillo. Thank you, Mr. Trujillo. You may begin.
Trent Trujillo: Welcome to UDR's quarterly financial results conference call. Our press release and supplemental disclosure package were distributed yesterday afternoon and posted to the Investor Relations section of our website, ir.udr.com. In the supplement, we have reconciled all non-GAAP financial measures to the most directly comparable GAAP measure in accordance with Reg G requirements. Statements made during this call, which are not historical, may constitute forward-looking statements.  Although we believe the expectations reflected in any forward-looking statements are based on reasonable assumptions, we can give no assurance that our expectations will be met. A discussion of risks and risk factors are detailed in our press release and included in our filings with the SEC. We do not undertake a duty to update any forward-looking statements.  When we get to the question-and-answer portion, we ask that you be respectful of everyone's time and limit your questions to 1 plus a follow-up. Management will be available after the call for your questions that did not get answered during the Q&A session today.  I will now turn over the call to UDR's Chairman and CEO, Tom Toomey.
Thomas Toomey: Thank you, Trent, and welcome to UDR's First Quarter 2021 Conference Call. On the call with me today are Mike Lacy, Senior Vice President of Operations; and Joe Fisher, Chief Financial Officer, who will discuss our results. Senior officers, Harry Alcock, Matt Cozad and Chris Van Ens, will also be available during the Q&A portion of the call.  To begin, first quarter results met our guidance expectations, and we anticipate same-store growth and FFOA per share will improve from here. As evidenced by our guidance increase and the demand trends, which we will speak to during the balance of our prepared remarks.  We are often asked the reason for optimism on the recovery of the multi-family sector and the magnitude of the potential upside UDR can capture. Our response is twofold. First, on the macro front, we expect to see the typical demand and growth cycle witnessed in the past recoveries. The U.S. economy appears prime to accelerate as additional fiscal stimulus kicks in.  Vaccination rates continue to improve and the return to office plans crystallize. Business conditions across most of our markets returning to more normalized levels. These factors should have a positive impact on job growth and wage growth, which drives demand for multifamily housing. It is difficult to put a range on the potential economic benefit from this unfolding, but recent operating trends put us in great position to realize this upside as we enter peak leasing season.  Second, this recovery will have an additional tailwind that no past recovery has had, the potential relaxation of regulatory restrictions. These COVID-related regulations cost UDR an estimated $8 million to $10 million of NOI during the first quarter alone. Mike will further detail this opportunity in his remarks. But we are optimistic in our ability to recapture the income as restriction sunset and the recovery ensues.  Collectively, our macro views the acceptance of our Next Generation Operating Platform by our residents and our ongoing ability to accretively source and deploy capital drove the full year 2021 guidance increases provided in our release. Joe will discuss this further in his remarks. Let me take a step back and look at our business over the intermediate time horizons of 2019, '20 and '21 and into the future.  I firmly believe we have the correct strategy in place to outperform. Our business model is somewhat unique in the multifamily space as we are widespread diversification, innovative culture and a focus on operations makes UDR a full cycle investment, capable of performing well across a variety of macro backdrops.  This proved true in 2019 when we accretively acquired nearly $2 billion of properties with attractively priced capital. In 2020 amid a pandemic, we made tremendous strides implementing our next-generation operating platform, which represents an entirely new way of conducting business in the multifamily industry, that has and should continue to drop more dollars to the bottom line.  For 2021, we believe we are well positioned to take advantage of the accelerating economic recovery and eventual relaxation of regulatory restrictions in many of our larger markets. All in, UDR has generated better-than-average FFOA per share growth in 7 of the last 9 years, a track record I'm immensely proud of.  In closing, I remain highly confident in the strategic direction of our company and our team's ability to execute on an opportunity set that's in front of us. The ongoing commitment of our team has delivered increasingly higher levels of service and satisfaction to our residents as we progress towards the full rollout of our platform while also making more efficient. For this, a heartfelt thank you goes out to all our associates for skillfully adapting to a new way of conducting business and executing our strategy.  With that, I'll turn the call over to Mike.
Michael Lacy: Thanks, Tom. A little over 60 days ago, when we provided initial 2021 guidance, we believed the reopening cadence of markets, and therefore, the pace of recovery in multifamily demand indicators that we track would be largely tied to how rapidly vaccinations proceeded and how quickly regulatory restrictions were subsequently relaxed. Our best guess was that meaningful positive inflection would most likely occur in the second quarter for our portfolio in total and the second or third quarters for assorted markets more negatively impacted by COVID.  While the regulatory backdrop has yet to exhibit material improvement, I'm pleased to say that we are seeing core operating trends improving a bit earlier than expected. This quarter, we added a new page to our supplement that illustrates these key operating trends.  Let me take you through our first quarter results and positioning ahead of peak leasing season, using those charts on Page 2 of our supplement.  First quarter results were solid, as evidenced by occupancy continuing to tick higher, blended effective lease rate growth turning positive and revenue growth improving sequentially. These trends have continued into April and give us confidence that results can further improve as we reprice 60% of our portfolio in the second and third quarters.  In terms of demand, traffic was 35% higher year-over-year during the first quarter. Positively, we witnessed residents migrate back to harder-hit urban areas in greater numbers. While residents leaving these markets declined. This has resulted in physical occupancy of 96.8% in April, our highest reading since April 2020. Higher occupancy is usually a precursor to future pricing power and our effective blended lease rate growth has improved following occupancy gains.  Strategically, we continue to improve occupancies in our harder-hit markets, but are also actively driving rents across numerous markets and communities that held up better during the pandemic.  Regarding blended lease rate growth, the transition from vacancy to occupancy in some harder-hit urban areas of coastal markets has had a near-term anchoring effect on our blended rate growth. However, I expect our blended growth to trend higher during the second and third quarters as market rents across our portfolio continue to rise.  As of today, we have a weighted average loss to lease of 2%, a significant improvement versus October 2020 when our gain-to-lease topped out at 6%. We have priced our May and June renewals at 100 to 150 basis point average premium to 2.7% growth we achieved in the first quarter. And we are forecasting effective new lease rate growth to turn positive portfolio-wide during the summer as markets reopen and return to office is full swing.  A material positive development we saw during the first quarter and in April thus far is the continued downward trend in concessions. As a reminder, our strategy through the endemic has been to maintain gross rents and offer concessions to not diminish our future rent roll in anticipation of a rebound. As demand has improved across our markets, so as pricing power, and we have been able to reduce the amount of concessions granted on new leases from a peak of 3.5 to 4 weeks on average in November 2020 to 2.7 weeks today.  Each week of concession equates to approximately 2% effective rate growth, and we should see this benefit more clearly in our results as we reprice a large portion of our portfolio over the next 2 quarters. These factors have contributed to higher sequential billed revenue, which we anticipate will improve further in the coming months. Importantly, cash collection rates rose by 50 basis points between February and March with further improvement in April as we benefited from reopenings, job growth, stimulus programs and $2.5 million in rental assistance received from a variety of programs.  We expect these trends to support revenue collection rates in the high 90% range going forward. Taken together, our same-store cash revenue growth turned positive on a sequential basis. Based on the most recent trends, I expect our year-over-year same-store revenue growth to be less negative in the second quarter and turn positive in the third quarter.  In addition to these core trends, our future same-store and earnings growth prospects are bolstered by the potential to recover lost income opportunities directly tied to the pandemic.  As Tom mentioned in his remarks, we estimate reduced collection levels and regulatory restrictions accounted for approximately $8 million to $10 million in lower NOI during the first quarter or $0.03 per share. Breaking this out further, despite recent sequential improvement, only rent collections have trended around 2% lower versus pre COVID, resulting in $6 million to $7 million in quarterly run rate bad debt reserves and write-offs.  Another $1.50 to $2 million can be attributed to the other regulatory restrictions that have limited our ability to monetize our real estate through initiatives such as short-term rentals, amenity rentals and late fees. The balance of lost potential income comes from mandated flat renewal pricing across 15% to 20% of our portfolio.  As markets continue to reopen and regulations are eased, we anticipate recapturing these revenue streams over time. While these big picture trends demonstrate our strong execution and the opportunity ahead, it's always helpful to provide some color at the market level.  Briefly, New York and San Francisco are collectively 14% of our same-store NOI. During the quarter, we observed higher levels of demand from favorable migration patterns into and out of these markets. This dynamic and its positive impact on market rents and concessions helped to drive occupancy higher and therefore, sequential revenue and NOI growth.  Washington, D.C. and Seattle are collectively 24% of our same-store NOI. These markets experienced relatively high levels of competitive new supply during the first quarter, which resulted in a near-term reduction of pricing power.  We anticipate sequential NOI growth improving in these 2 markets as concessions decrease over the coming quarters. Our Sun Belt markets are collectively 25% of same-store NOI. These markets continue to exhibit strength with occupancy above 97%, and we are actively increasing rents to maximize our rent roll.  Moving on, our Next Generation Operating Platform, version 1.0, has now been fully rolled out to 16 of our 21 markets. Our residents have embraced our move to a self-service model as evidenced by 96.5% of our tours conducted during the first quarter being self-guided or touchless. With the widespread introduction of automated self-touring and easy to use resident interfaces across our communities, we've remained on target to achieve headcount reductions, averaging 35% of our communities by year-end 2021, primarily through natural attrition.  When coupled with other platform initiatives that also mitigate controllable operating expense growth, we remain confident in our forecast that the platform can increase our annual run rate NOI by $15 million to $20 million by the end of 2022. Finally, I want to thank my colleagues in the field and at corporate for their continued hard work to make the platform a reality.  Every UDR associates should take pride that we have created a new way of doing business in the multifamily industry, that improves resident satisfaction, increases engagement and career mobility for top talent and deliver strong bottom line results. Although we have been working on the platform for 3 years, we are just scratching the surface of what is possible.  And now I'd like to turn the call over to Joe.
Joseph Fisher: Thank you, Mike. The topics I will cover today include our first quarter results and our improved outlook for the full year 2021, a summary of recent transactions and capital markets activity and a balance sheet and liquidity update.  Our first quarter FFO is adjusted per share of $0.47 and at the midpoint of our previously provided guidance range and was supported by same-store revenue and NOI growth in line with our internal expectations. For the second quarter, our FFOA per share guidance range is $0.47 to $0.49. The $0.01 per share sequential increase is driven by our expectation for improving sequential same-store NOI growth, and accretion from recent capital allocation activities.  Our year-to-date results, when combined with our expectation for continued sequential improvement throughout the year, drove the increases in our full year 2021 FFOA and same-store guidance ranges provided with our release.  We now anticipate full year FFOA per share of $1.91 to $2, with the midpoint representing an approximate 1% increase from prior guidance. This increase is driven by $0.005 from a 25 basis point midpoint improvement in same-store revenue growth, $0.005 from a 50 basis point midpoint improvement in same-store expense growth and a $0.01 accretion from accretive financing activity and transactional activity, offset by $0.005 from increased G&A expense.  Our same store guidance, we are now forecasting full year 2021 revenue growth of negative 2.0% to positive 0.5% with concessions on a cash basis and negative 4.0% to negative 1.5% with concessions on a straight-line basis. This difference is due primarily to the residual impact of concessions amortizing during 2021 that were granted in 2020.  Additional guidance details including sources and uses expectations are available on Attachment 15 and 16E of our supplement. The low end of our full year 2021 FFOA guidance range suggests we achieved the midpoint of second quarter FFOA guidance of $0.48 per share and experienced flat sequential growth for the balance of the year.  As Mike discussed, we are encouraged by the trajectory of several forward-looking operating trends and believe we are well positioned to drive rate growth as we enter the peak leasing season. We are optimistic that these dynamics when combined with the accelerating economic recovery and eventual easing of regulations will provide a growth tailwind as we progress throughout the year. As such, we plan to revisit guidance on our second quarter call once we have further evidence of the sustainability of recent positive operating trends are deeper into the leasing season and have a clear view of the regulatory environment.  Next, a transactions update. A primary objective when we undertake transactions is to remain diversified by market mix, price point and location with end markets. While our portfolio-wide urban suburban and AB quality exposures will oscillate over time as we pursue higher return deals, the 21 markets we operate in provide ample flexibility to utilize our value creation drivers to enhance earnings and NAV growth.  We believe these tools allow us to pivot to the right capital allocation decision and consistently generate outsized yield expansion over time on investments, which provides a repeatable, enduring and compounding set of advantage versus private operators and public peers. These drivers include: one, our ability to improve core operations. Examples include implementing revenue management software, charging view or location premiums and using our scale in markets to secure lower vendor cost.  Number two, implementing legacy operating initiatives such as parking optimization, short-term furnished rental programs and renting out common areas. Number three, overlaying our Next Generation Operating Platform, which reduces headcount needs, improves resident experience, adds smart home capabilities and brings data science into the mix. Number four, renovating apartments in common areas as well as increasing curb appeal where appropriate.  And number five, utilizing predictive analytics and qualitative assessments to provide a better jumping off point for our investments in markets that are likely to produce better rent growth over the coming years. We have found that the greatest opportunities for outsized accretion come from acquired communities that are mismanaged, located proximate to other UDR communities, those with renovation upside, or a combination of the 3. Pairing this with premium-priced equity, like what we did in 2019 and during the first quarter of 2021 only serves to further enhance returns.  This form of value creation is repeatable in any environment, given our ability to pivot sources of capital between dispositions, free cash flow and equity. Proof of the accretive nature of our transactional value creation strategy is evident on the $1 billion of third-party acquisitions completed in 2019. Thus far, the weighted average yield on these properties has expanded by approximately 35 basis points or 7% in terms of NOI growth to a 5.1% yield. This is a stunning result.  Let me say again, this is a stunning result given this upside was realized during COVID, a period during which NOI generally declined.  On the first quarter transaction activity, during the quarter, we sold 2 communities, 1 each in Orange County and Los Angeles, for total proceeds of approximately $187 million at share at a low 4% weighted average cap rate. We acquired or are under contract to acquire 3 communities, 1 in suburban Boston and 2 in suburban Dallas for a combined $360 million. All 3 communities are expected to generate outsized returns once fully integrated under our platform, with the weighted average initial yield projected to increase from mid-4% in year 1 to mid-5% by year 3.  This equates to an approximate 20% uplift in NOI. And lastly, we committed to fund 2 DCP investments totaling $50 million. Each investment yields 9% and includes profit participation upon a liquidity event, which we expect to occur in approximately 5 years. Please refer to yesterday's release for additional details on recent transactions.  Moving on, our investment-grade balance sheet remains liquid and fully capable of funding our capital needs. Some highlights include: first, during the quarter, we entered into forward sales agreements for approximately 9.3 million shares of common stock for a combined $405 million of future expected proceeds. We anticipate using these funds on accretive acquisition, DCP and development opportunities, some of which we have completed and others we expect to close in the coming quarters. We plan to overequitize these investments, which should improve our leverage as measured by debt to EBITDAre by 0.1 to 0.2x.  Second, after using the proceeds from our $300 million, 2.14% unsecured bond issuance in the first quarter to redeem higher cost, 4% debt originally scheduled to mature in 2025, we have only $640 million of consolidated debt or approximately 3% of enterprise value scheduled to mature through 2025 after excluding amounts on our credit facilities. Our proactive balance sheet management puts us in a position of relative strength with the best 3-year liquidity outlook in the sector and a weighted average interest rate of 2.8%, the lowest amongst the multifamily peer group.  Third, we recently announced a 1% increase to our dividend. Based on our 2021 AFFO per share midpoint of approximately $1.78 per share, our dividend payout ratio is forecasted to be 82%. Resulting in approximately $100 million of annualized free cash flow after accounting for dividend payments.  And last, as is evident on attachment 4C of our supplement, we continue to have substantial capacity under our line of credit and unsecured bond covenants. As of quarter end, our consolidated financial leverage was 35% on undepreciated book value, and 28% on enterprise value, inclusive of joint ventures.  Net debt-to-EBITDAre was 7.0x on a consolidated basis, but would be 6.5x if outstanding forward equity agreements were settled during the quarter. As of March 31, our liquidity as measured by cash and credit facility capacity net of our commercial paper balance and including the future expected proceeds from the potential settlement of our forward sale agreements was $1.35 billion.  Taken together, our balance sheet remains healthy, our liquidity position is strong, our forward sources and uses remain balanced, and we continue to utilize a variety of capital allocation options to create value.  Finally, subsequent to quarter end, SmartRent, which is 1 of the investments held by RETV 1 and 2, of which we are 1 of the lead investors, entered into a definitive merger agreement with a special purpose acquisition company. Confirmation of the merger is subject to regulatory approval, stockholder approval and other customary conditions.  As many of you know, UDR was an early adopter of SmartRent, SmartHome technology across our portfolio, as part of the foundation for our Next Generation Operating Platform. We are pleased to see the rest of the industry following our lead in its utilization and the benefits SmartRent has provided to our investors through tangible bottom line results to our operations, and yet to be realized appreciation within our RET investments.  At this time, there are still many conditions to be satisfied, including those mentioned moments ago, before the merger is closed and SmartRent becomes a public company. Related to implications to UDR, the approximate $25 million valuation of our RETV interest presented on 12A of our supplement will continue to be presented in accordance with GAAP. Utilizing fair market value accounting and the valuations provided to us by RETV. Based on information provided to us by RETV, the valuation presented on 12A of our supplemental could increase to approximately $75 million on a pretax basis at a publicly disclosed transaction price, but depends on a number of factors.  We do not intend to provide any additional commentary on this topic until it is appropriate.  With that, I will open it up for Q&A. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Nick Joseph with Citi.
Nick Joseph: I was hoping you could compare the recovery you've seen thus far in San Francisco versus New York? And then your expectations from both markets over the next few quarters?
Michael Lacy: Nick, it's Mike. Thanks for the question. It's been interesting. I'll tell you, just in general, New York, San Francisco, Boston, those markets have performed a little bit better than we expected to start the year. And when you look at New York specifically, we've been able to bring our occupancy from at around, I want to say, 94.5% during the quarter, around 96.5% today.  And it's been promising to see the concessions continuously drop. And really the last few weeks, I would say, in general, we've seen a remarkable improvement. So just to break it down a little bit, New York, average concession still 0 to 8 weeks, and it's very different by different parts of the city. We're seeing 2 to 4 weeks in Chelsea. And then we're right around 6 weeks down in the financial district as well as Midtown.  We're still upwards of around 6 to 8 weeks around Columbus Square. But overall, occupancy today is hovering around 96.5%, and we expect to see our blends continue to improve. San Francisco, specifically, that's been a little slower to recover. We're starting to see some of that availability transition to occupancy as evident by our new lease growth, down around 11% to 12%. But we're excited to see the occupancy go from 92.8% in 1Q to 94.5% today, and again, concessions in this market have also come down in the last couple of weeks. We're averaging between 4 to 6 weeks as a whole.  But i would tell you, Downtown as well as SoMa is closer to that 4 to 6 weeks today, which is a significant improvement compared to just 45 days ago.
Nick Joseph: And from the new move-ins, like you have seen and that picking up of demand, are there any kind of interesting trends that you're seeing in terms of who's actually moving back in apartments?
Michael Lacy: Yes. We do have some interesting trends. For New York specifically, move-ins coming out from outside of the MSA. We saw about 25% number there, and that compares to about 10% the year before. And I'll tell you something that jumps out to me is our 25 to 30-year-old age group in that market is twice as likely to live alone now. We've seen stats go from 14% to 27% in that market. And then San Francisco, not as big of a difference. We're seeing 20% come from outside of the MSA. It's pretty comparable to what we saw last year. And the age demographics haven't changed as much in that market.
Operator: Our next question comes from the line of Austin Wurschmidt with KeyBanc.
Austin Wurschmidt: So Joe, appreciate all the details you gave on guidance. But just wanted to check and see if the math here was right that if we look at the billed revenue figure you had in April, around $95.5 million and sort of apply a collection rate, as you mentioned, the high 90% range and assuming that remains stable, does that get you pretty close to the midpoint of the revised range for same-store revenue guidance?
Joseph Fisher: Now. The way it kind of works, and it actually tracks at pretty similar trajectory as our FFOA guidance. If 2Q, if you take the midpoint of expectations, both for FFOA and then our internal expectation for build revenue in same stores, which we do expect to see a sequential improvement on both same-store revenue and NOI as we move into 2Q. If you flatline those for the rest of the year, you get to the low end of expectations. So that effectively assumes that the reopenings pause. There is no further improvement or pricing power. And all the trends that we've seen that we're talking about on the second page of the supplemental effectively cease to exist.  So I think a somewhat conservative assumption there, but probably prudent given where we're at in terms of timing of the year with 70-plus percent of the leases left to be signed. The economic recovery is still ongoing. And of course, the regulatory environment. To go to the midpoint, you need to see that continued improvement as we move throughout the year be it occupancy, pricing power, getting the collections number up and bringing back some of those other income numbers.  So you do -- you didn't just see a continued improvement from 2Q into 3Q and 4Q to get to the midpoint or high end of those guidance ranges.
Austin Wurschmidt: Okay. Got it. That's helpful. Appreciate it. And kind of coincides with some of the commentary you guys had in the prepared remarks. Secondly, just on traffic and demand. You provided some good detail in there on how traffic and visits have trended. Curious how conversions rates compare versus historic levels really, what's driving that big leg up? What markets are really driving that leg up in traffic and visits. And then are people -- is that really for people that are looking for units, call it, April, May time frame? Or are you seeing people kind of start to look further out as some of these back-to-office states firm up?
Michael Lacy: Great question, Austin. I'll take that. I would say it's very market specific, probably 1 of the best trends I've seen over the last few weeks is, in some markets, I have a 30-day trend that's higher than my current occupancy. So that tells me that there's some people that are looking to move sooner rather than later. And when you have that type of trend, you can really start pushing on your market rent.  So that is places like the Sun Belt for us. It's Richmond, Baltimore. Just phenomenal results over the last few weeks. But specific to traffic, when you look at that chart that we provided on Page 2 in the sup, New York, San Francisco, Boston, our traffic was up about 120% on a year-over-year basis, most recently, and that compares to the rest of the portfolio, around 90%. And then as it relates to converting, we've been seeing as a percent of our home count, 1.6% lease conversion, which, typically, in a normal time, when I compare back to, say, a time like 2019, it's closer to 1% at this period of time. So I'm seeing leasing that's more typical of end of May, early June time frame.
Thomas Toomey: And Mike, this is Toomey. Maybe a follow-up. How much of that does the platform enable to deal with 1 more traffic than cost us anymore and to are people more likely to lease with the platform versus our prior stabilized period with leasing agents.
Michael Lacy: Yes. That's a good point, Tom. Obviously, we've opened up the fund, right? We've talked about this in the past. By allowing more people to come to the property, we can send out sometimes upwards of 5, 6, 7 people at a time, first want to go see different units on the property. So obviously, that's had a pretty big impact on our traffic.  You can see it in the numbers. I would say it's increased a twofold in a lot of markets. So that's probably 1 of the bigger factors going forward on how we're able to just kind of continue to drive that traffic number and convert at a high rate.
Austin Wurschmidt: That's great detail. And I appreciate the follow-up to the follow-up.
Operator: Our next question comes from the line of Jeff Spector with Bank of America.
Jeffrey Spector: First question, I'd like to turn to supply. Can you provide some comments on supply nationally this year? And any initial thoughts on '22 and if possible, if there's any key watch markets or even regions, Sun Belt versus, let's say, Coast.
Joseph Fisher: Yes. Jeff, it's Joe. Starting with '21 MSAs in terms of UDR's portfolio, we think we're probably going to be up about 10% to 20% in terms of supply growth this year.  That equates to roughly 1.5% of stock. That number has come down plus or minus 10% from what we would have been talking about a quarter ago as we have seen continued revisions and delays taking place in some of the Coast. So the picture is getting a little bit better there in that sense. Submarket wise for us in terms of competitive supply.  Overall, for our portfolio, is looking like it's going to be flat to down actually. So competition wise, looking a little bit better than the MSA as a whole. I'd say the markets that probably look best for us in '21 Boston, Orange County, Baltimore and inland Empire. Those that look a little bit more difficult, Northern California, L.A., New York, Nashville, Orlando and Seattle.  If you start to fast forward into '22, '23, I think all of us have been a little bit frustrated by the stubbornly high number of permits and starts. So we probably don't have quite the tailwind that you've seen in historical recoveries coming from the choking off of capital and supply as we get into those years.  Relative to starts and permits are down plus or minus 10% off of peak levels. I think, regionally, as you look through. Clearly, the coastal markets have come down more, while Sunbelt has remained relatively static. And that's a trend that you see even when you cross over to the single-family housing market as you start to think about total housing supply that's out there.  So markets that are kind of best and worse that we're keeping our eye on. The markets that look to be a little bit more troublesome. Markets like Raleigh, Phoenix, Charlotte, Austin, Denver, Nashville. So a lot of the Sun Belt markets. On the Coast, I'd say the ones that look a little bit better, Boston, New York, L.A., San Fran, and then even within the Sun Belt, Dallas looks a little bit better. Orlando looks a little bit better. And then the ID looks a little bit better. So generally speaking, high level, though, Sun Belt just not seeing the same reprieve in supply on a forward basis.
Jeffrey Spector: That's Joe, that's very helpful. And then my second question, Joe, on your -- some of your opening remarks. Really appreciate some of the color and the details you provided on the value UDR has created and the growth on assets you've acquired, especially as you mentioned during the pandemic the NOI increase. What limits UDR from doing more, more acquisition? Is it capital, competition, resources? Have you considered to do an open-end fund business something similar to Prologis to really grow that business, like to get back into that?
Joseph Fisher: Yes. The biggest inhibitor for us in terms of external growth is probably going to be the opportunity set available to us. When we go through that list of value creation mechanisms that are available, be it the ops, the initiatives, the platform, the CapEx programs, it's not as if every deal that cross Harry and Andrew's Desk presents that opportunity. So the ability to fare it through a wide swath of opportunities across the markets that we're targeting, have them figure out the submarkets that we want to be in and then put together the business plan around those assets so that ops can go operate those assets and execute upon it and get the upside kind of from that 4.5% cap to 5.5% cap over time. Those are not a dime a dozen.  So I think the opportunity set is probably the biggest inhibitor to go out there and continue to take advantage of the competitive advantage that we have in place. The sourcing the capital, we always have assets that we can turn around and sell that we think may be maximized from any 1 of those perspectives. So we can always go find assets to sell and recycle into additional accretive opportunities.  But I think the external piece, limited by that. As it relates to the second part, the fund business. We do have a great JV partner in Metlife that we continue to be partners with and very much enjoy operating with. So we don't have any plans to change from that perspective. But fund wise, it's not an avenue that we have explored, keeping the value creation in-house and having it fully accrue to our shareholders is generally beneficial. And complicating the business, generally not something that we've tried to look to do. So something they have the [indiscernible] and discuss with the Board, but no plans at this time.
Operator: Our next question comes from the line of Rich Hill with Morgan Stanley.
Richard Hill: I want to maybe pick your brain about squaring same-store revenue compared to some of the operating metrics that you're comparing, notably the blended spreads. I think blended spreads have remained really solid and stable over the past several quarters. But same-store revenue growth has remained much more negative.  And if I'm looking at CoStar data, it looks like new lease spreads troughed or effective rent growth, should I say, troughed at a similar level to peers, but you've had a steeper recovery. So I guess I'm just -- it's a long way of asking, with renewal spreads with where they are, where occupancy trends are going and take advantage -- or taking into account the bad debt why shouldn't we expect to see same-store revenue growth even better than where it is right now?
Joseph Fisher: Yes. Thanks, Rich. It's Joe. Maybe I'll kick it off and turn it to Mike for some details. I think in terms of expectation of revenue growth, clearly, we do expect to see, given the fundamentals that we've displayed on Page 2 of the supplemental, we do expect to see an acceleration in our year-over-year performance as we move throughout the year. 2Q likely remains in the negative territory, but we do believe we flip over, maybe even early as June on a year-over-year basis, but definitely in the third quarter, given the trends that we're seeing. So we do think all the efforts that we put forth on operations will start to show through on that year-over-year number pretty soon here.  As it relates to -- I think your comment specifically starts to come into a little bit on Page 4 of the press release in terms of the blends that we show at plus or minus down 50 bps throughout -- the most of the cycle versus within the Page 4 table, the year-over-year contribution to growth, that minus 2.6% for gross rents. I'll spend some time on that as I think concessions, occupancy loss, bad debt reserves are probably a little bit more self-explanatory.  But the walk from how you get the blends to that down to 2.6. Keep in mind that blends are lease to lease. So you have to have a new lease in place to actually capture that metric. So the 50 basis points down really explains only about 20% of that down 2.6 . What you're not seeing here is that we do have a lot of units that were occupied in 1Q of '20 that were higher rents in the urban coastal markets that are sitting vacant today. And so that is not captured in the blends.  When they do get leased up, they will start to show up in blends. So if you have 400, 500, 600 units out there in some of our major coastal markets that are at much higher rents that are sitting vacant that revenue stream has been lost, and that really explains the other 80% of that down 2.6 . Over time, obviously, as you start to lease those units, it's going to be a positive to build revenue, positive to occupancy, positive same stores.  But could potentially weigh as you put new leases in place in some of those more distressed markets at lower rents. It could weigh on new lease pricing depending on where they're going. But I think you heard from Mike in the opening comments there, the trajectory on those markets clearly head in the right direction, retaining pricing power, driving concessions down. So we hope to not see that negatively impact blends, but do think it's a positive for year-over-year as we move forward.
Richard Hill: Got it. And I guess I have just a follow-up question. And you're fair to call me an idiot. It wouldn't be the first time I've been called an idiot today and certainly not the first time in my career. But why wouldn't that be included in economic occupancy. And happy to take it offline if it's too long, you have a question, but just trying to square it with our sort of horseshoes and hand grenades math. It's okay, you can call me an idiot.
Joseph Fisher: Close enough, it's okay, Rich. We can take it offline and then walk through the definitions in a little bit more detail in terms of how we allocate the different dollars between physical and economic. So why don't we take it offline? We'll take it through there. And then if others have questions as well, we can go into kind of the details on the [indiscernible] on it.
Richard Hill: Got it. Fair. So one more question, as we just think about looking forward. You're obviously pushing rents at a really nice pace at this point. It looks like the recovery is clearly in. We can debate how good same-store revenue is going to be in the second half of '21 into early '22.  But I guess the question I have for you guys is, as you start looking beyond the next 12 months, what's to stop you from pushing rents even more? And what I mean by that is, there seems to be a lot of demand coming from millennials and Zs. Maybe supply pressures begin to abate a little bit. But is there a scenario where full occupancy actually allows you to push rent, maybe even higher than where you were in 2019 or beyond that.  So I guess, I'm ultimately asking a question about longer term, can you outpace inflation? And it seems like given the backdrop, maybe that's a reasonable scenario?
Michael Lacy: Yes, Rich, this is Mike. I'll take that. I think just generally speaking, again, we are pushing rents, and we like to push it until it breaks, if you will. In some markets, we're able to push a little bit higher. Others, it's a struggle. And it's -- it comes down to what's happening within these markets. So I think a good example for us today is a place like Orlando, we compete with a lot of private operators and we can push so hard. But at some point, they start doing something with concessions or lowering their market rents. It puts pressure on us. So we managed to, call it, that 30-day to even an 8-week trend. And as long as our occupancy is stable, we're going to keep pushing. And then it comes down to the regulatory environment, just in terms of what we actually can charge.  In some places, we -- and specifically, renewals, we're still 20% of them, we can't charge anything. So we're limited by that. We're watching that very closely, and as soon as that opens up, that's going to give us a bit of a lift off.
Operator: Our next question comes from the line of Rich Anderson with SMBC.
Rich Anderson: Good so first question for me is sort of what was just alluded to about the private competition. Part of the problem with the multifamily business is you have 80%, 90% of the ownership in private hands and a lot of that is maybe not so sophisticated, particularly relative to your Next Gen platform. And I'm wondering if this environment besides them kind of acting inefficiently and screwing up the math for you guys with concessions and whatnot, have people thrown in the towel and gotten out of the business to some degree.  We're seeing that in New York. A lot of the condo sales that we're hearing about are actually former investment properties by mom-and-pop owners that have just decided not to rent apartments anymore. Are you seeing a silver lining from COVID potentially that you get a little bit more sophistication in your competitive set?
Thomas Toomey: Rich, this is Toomey. I would say this, there's always going to be inefficient operators in the marketplace as long as it's a fragmented industry. And certainly, you could see from our purchasing over the last couple of years, we're very adept at finding that opportunity and executing on it. With respect to seeing operators in the marketplace pull product off, well, let's hope they do so. It gives Mike an operating tailwind that he can take advantage of, and we'll see where that plays out. I think the bigger question on most investors' minds that own today is what are interest rates going to look like? And what is the new tax law going to look like.  And I think we're going to find that out over the next 6 months. And both of those may, if they break a certain way, free up a lot of assets for purchase. Has typically been the pattern. Cap gains going up level they're talking about would be one thing. The 1031 potential elimination would be another. Those probably push a lot of assets from the old pattern to the sale pattern or exploratory the pricing. And you couple that with potential interest rate increases or proceeds constraints, it pushes more assets into the middle of the table.  So I think we're well positioned to take advantage of that, should it unfold. And I think we'll have our answer in the next 6, 9 months.
Rich Anderson: Okay. Good. And then somewhat unrelated question, but a bit related, I guess, talking about multifamily. So I guess, Joe, you went through the discussions about investing in acquisitions and cap rate returns and all that. But what value do you guys placed on the kind of the snapback of performance in various markets over the next couple of years, which we all expect to see, which may be in a natural level of growth as we kind of recoup lost ground? Or are you looking past that when you're underwriting deals and not posing as much value on that kind of short-term phenomenon really thinking 10 years out?
Joseph Fisher: We're really trying to look more in that 4 to 10-year time frame when we're thinking about these assets. Clearly, you've seen depressed NOIs coming in some of the more harder-hit markets. But if NOI was down 10% or 20% in New York and San Francisco, we never saw asset values adjust to that degree. So you're not seeing a 1:1 adjustment NOI and asset value. So it's not as if you can take advantage of the upcoming NOI stream by buying that depressed pricing.  So while we do fully expect that you'll see that short-term phenomenon of coming off a low base. You see the momentum in our press release for some of those more harder-hit markets on a sequential basis. We believe it's coming. We're seeing it's coming, but we're not necessarily factoring into how we think about our diversified portfolio. We're trying to think more in that 4 to 10-year time frame. And you can kind of see the incremental deployment and sourcing that we've done based on our portfolio strategy work here in the recent quarters.  So buying some more in Boston and D.C., Philly, Dallas, Tampa, et cetera. And then sourcing a little bit in Southern California as well. So a little bit of changes on the margin, but it's very much on the margin. It's not going to be a big shift given that we're already starting with a pretty strong position with a diversified portfolio.
Rich Anderson: Does the snapback almost cause a distraction, make it harder to underwrite and see through to that 4 to 10-year time frame? Does it muddy the vetting process is my question?
Harry Alcock: Rich, this is Harry. I think I'll jump in. I mean I think what we focus in, we realize we're going to get market rent growth, and that's going to vary, and it should be priced in the assets. But the assets that we're buying, we're sourcing properties where we believe we can push NOI above market rent growth. And the market rent growth, the theory is priced, it might be -- there might be some inefficiencies, but primarily, we're focusing where we can do something with the asset, either with the platform, we buy a property near other UDR properties through some capital programs so that we generate outsized NOI growth over and above the market and therefore, outsized returns.
Operator: Our next question comes from the line of Rich Hightower with Evercore.
Richard Hightower: I don't know if I'm the third or the fourth Rich in a row. So I don't want to confuse anybody. So one quick housekeeping one. I apologize if I missed this earlier, but tell us what's driving the 50 basis point midpoint reduction in expense growth this year, if you don't mind?
Michael Lacy: Rich, it's Mike. I'll tell you, it's 2 things. So we're actually seeing benefit both on our controllables and our noncontrollables right now. And a lot of that I would attribute to the platform on the controllable side. For example, our expense growth in the first quarter was around 2%. A lot of it had to do with what was going on with the snowstorms down in Texas as well as in Richmond, Baltimore. If it wasn't for that, our controllable expenses would have been closer to flat.  So we're seeing pretty good trends as we move into 2Q and 3Q, just as it relates to personnel reductions and things of that nature. And then on the noncontrollable side, our taxes have been coming in better. And Joe can elaborate that on more but it's both components for us today.
Joseph Fisher: Yes. Overall, on the real estate tax side, Rich, we came in at 2.7% in the quarter, if you look at attachment 6 within the sup. For the full year, we think the number is probably around 4% growth. That's down about 100 basis points from our original budget, really driven by some of the valuations coming in better. And then some of the appeals work that we've had.  So in California, we've had a number of appeals and valuation wins. We've had some others throughout the portfolio as well. But still some risk out there as it relates to Florida and Tennessee and Texas as well as Boston and New York in the back half of the year. But we feel a lot better. We've kind of derisked that piece of the equation and feel better about where we're growing at that point.
Richard Hightower: Okay. That's helpful. And then, Mike, maybe just a follow-up on some of the platform-related improvements. You mentioned, I think, in the prepared comments, that you -- as a company, you're just scratching the surface of what's possible. I'm curious if you care to expand on that at this time.
Michael Lacy: Yes, Rich, we've talked a little bit more in the past, we're really starting to get into some of the data science. And I gave a very brief answer on kind of what we're seeing with demographics. I can tell you, we have a lot of information that's going into the system, with all of our data sets.  And we're sorry to really, again, just scratch the surface on what we can tap into, and it's pretty exciting just to get an idea of what opportunities are out there. We're starting to putting [indiscernible] on them, if you will, understand kind of how much return is there, how much time it's going to take, but we've got over the next couple of years, some leeway here, and we'll continue to push on it.  But we've been very excited about Platform 1.0. I did mention in my prepared remarks, we've transitioned 16 of the 21 markets. We're getting close to 30% reduction in headcount at this point. Our heat maps are up and running. We're starting to see that play through in our blended rate growth. Our residents and our prospects like what we're doing, evident by the NPS scores continue to increase. And at this point, we've rolled out 43,000 SmartHomes. So we're getting close to finishing that up, too.
Thomas Toomey: Rich, this is Toomey. Just to add on to Mike and because I can get in trouble and he can't on these things. In a self-service model, which is really the core of the platform, you'll find opportunities in the following areas and immediately is the cost structure of the organization. But beyond that is the customer satisfaction potential and understanding in more depth, and we've hired a group to help us work through understanding the sales cycles and our opportunity set and where we fail to date. And so in today's leasing online or in a touch list, we actually touch the customer 7 times. The truth is we probably don't need to touch them that much, but we're trying to figure out which points of that touch cycle in a sales cycle actually lead to a successful sale, as an example.  Second, Mike's demographics. You've seen our power of our pricing by home because we're tracking 10 years of data and can figure out what the right renewal strategy should be for each individual and not a holistic mail out an offer and see what they think. But actually customizing it to their situation and their patterns.  So those are just 2 real simple examples. I think others in a self-service model go into the speed and ability to interact you won't want to sit at a kiosk, get an airline industry and wait for 10 minutes for service, you want it to be 3 clicks and done. As we learn more and more about those things, we're obviously focused on the margin customer service angle of it. We think there's plenty of room to run down this because a lot of other industries are way ahead of us. And fortunately, I think we're in the lead on the multifamily space about thinking about it, executing on it, and we want to maintain that.
Operator: Our next question comes from the line of Neil Malkin with Capital One Securities.
Neil Malkin: First 1 is on, I guess, capital allocation this quarter and then subsequent, a lot of activity in the Sun Belt, specifically Dallas and the suburbs of Dallas. Obviously, you sold some California products. So being that you guys have excellent technology and data science, and you look at analytics in various ways.  What does that say about how you think these markets are going to shake out and how demand trends are going to shake out over medium to longer-term period. Because before you said you don't want to make any big moves or big decisions, you want to see how the dust settles, so to speak.  And so Tom or Joe, are you guys any closer to making that sort of move or decision? And what is the investments you made recently kind of say?
Joseph Fisher: I think the recent capital markets activity effectively demonstrates how we're thinking about the portfolio on the margin. We've talked about the principle by which we operate, which is maintain diversification. So we think that's worked in the most recent down cycle. it will work in the up cycle as it has historically, it provides a good jumping off point for us and our investors to deploy capital and create value over time, which you've seen us continuously outperform on cash flow growth for the last -- almost decade now.  So I want to maintain that as it relates to Dallas, Dallas ranks, I'll say, middle of the pack in our quantitative models, but it ranks very well on the qualitative side, be that the affordability, the corporate headquarters, corporate reloads, the new hires, in terms [indiscernible] that they're attracting and the demographic growth that they're seeing.  So we do have a pretty high degree of positives on a market level related to Dallas. And it comes down to the opportunity within those markets in terms of making sure that it checks all those different value creation boxes. So it's a little bit of how we're thinking about it. But again, it's going to be very much on the margin. Overall, though, I think all these markets have the ability to do well going forward. It's not as if we're in Southern California, Northern California, New York, et cetera cannot perform on a go-forward basis. We think they have a near term, a very strong rebound coming as demand comes back and hopefully, as regulatory restrictions come off.  Longer term, they'll remain hubs in their respective industries. It's just that they're not going to get the monopolistic share of jobs and incomes that they've had historically. So and stood about performing 70%, 80% of the time on a rolling 10-year basis. Maybe they're more in line with some of these other markets that are becoming more of a hub or more of a ecosystem. Some of these future drivers of economic growth and job growth.
Neil Malkin: Yes, I appreciate that. And that's a really good way to look at it and this is my view as well. Turning to maybe DCP/development. I think it's well understood that material pricing has gone up quite a bit on the lumber side, especially. Just wondering if you are seeing the pipeline or potential get harder, I guess, decrease a little bit and how do you -- how does that -- the sort of rising price environment affect your on balance sheet development decisions?
Harry Alcock: Neil, it's Harry. I'll start, and then Joe may jump in. On the DCP side, the number of opportunities remains elevated. And there's a ton of developers that are looking to capitalize their projects. Capital overall is more difficult for the developers. And we've talked about this before. Debt proceeds are lower, LP capital is more difficult, all of which increased the demand for DCP. However, it is taking a long time to work through these projects as developers work on their capital stack and the overall economics.  And I think maybe it's worth just touching a little bit on lumber and other material costs. I mean, lumber, obviously, we're in the midst of what we hope and expect as a bubble in terms of lumber pricing. But lumber overall is only about 3% of total development cost on a normal wood frame project.  So even if lumber doubles, you're talking about a $100 million project goes to $103 million, it's 15 or 20 basis points and that's obviously an extreme outcome. Other material costs also are increasing, as you mentioned. And as we think about materials, we think that typically is, call it, 15% to 20% of total development cost. So again, even if materials increase 10% or 15%. That's 2% to 3% increase in total development cost. So it's meaningful. But it's not -- it doesn't necessarily kill these deals. And if you think about it, that's maybe $50 to $75 a month rent increase, which in a recovery market, often we can overcome it.  We continue to see material shortages, that type of thing. So we are operating in a difficult environment. But I can tell you, as we look at on balance sheet development projects, we don't change our long-term strategy as a result of short-term cost bubbles. We believe we can create value through our development capabilities. And if lumber and other material costs were to stay high, we would just consider that in the context of our overall economic analysis before we start a project.
Operator: Our next question comes from the line of Amanda Sweitzer with Robert W. Baird.
Amanda Sweitzer: Following on development. Your development guidance did go down a bit this year. Is that just less optimism about your ability to add new projects to the pipeline beyond Tampa? Or are you seeing other more interesting opportunities within DCP and acquisitions?
Joseph Fisher: Amanda, it's Joe. Yes, when we originally put that guidance range together, we put a fairly wide range out there. At the lower end, even up to the midpoint effectively encapsulates all the known spend. So when you look at attachment 9 at $500 million. it encapsulates that spend. And then we have a number of shadow projects, if you will, that are sitting out there and that we may potentially start. But it really depends on the third quarter, fourth quarter, even into the first half of next year. So we do have a land site that we're working on in Tampa that we hope to get on the balance sheet and hopefully start within the next 12 months.  There's the densification opportunity we've talked out at Newport Village in suburban DC we've talked about, which is about $140 million project. There's the Alameda parcel that we took on the balance sheet in Northern California here subsequent to quarter end. So we have a number of other projects that we're just working on timing and hopefully get started, but brought down the top end of the range slightly.
Amanda Sweitzer: That's helpful. And then following up on that, I hear you on rising construction costs not impacting overall development cost that much. But where have you seen development yields trend this year either pre-COVID to today? And how does that stack up with what you're seeing in other opportunities?
Joseph Fisher: Yes. Maybe two things on that. On Attachment 9, that current pipeline, just in terms of costs being locked in, we've already bought out all the lumber that we need for the next 18 months for these projects. So we do not have the risk associated with these. So in terms of cost estimates, cost overrun risk, we see that as de minimis for the existing pipeline.  So the bubble in lumber prices that we see today, it really factors into the forward underwriting and future starts, which, as I mentioned, we probably not start another project for another 2, 3 or 4 quarters here at this point. As it relates to the yields that we're underwriting, we have not adjusted from what we've talked about historically, which is in high 5s, low 6s type of stabilized yield. Most of the projects that we look at are somewhere in the 5.5 range on an untrended basis. And when we say untrended, we're talking about current market rents as we look at the current NOI stream off of that asset relative to a trended cost.  So we look at the forward cost at which point in time, we would start and deliver that asset. So the untrendeds we look at are 5.5%. Over time, of course, we expect rents to grow and catch up to that cost and grow to a 6% stabilized.
Operator: Our next question comes from the line of Juan Sanabria with BMO Capital Markets.
Juan Sanabria: Just hoping you guys could give a little bit more color on the renewals and the impact on regulation. You said that there's 20% of the portfolio, you couldn't push. But do you have an estimate as to what that would have been, had you had the flexibility to drive those renewal prices?
Michael Lacy: Yes. Juan, it's Mike. It's about 70 basis points. So we would have been 70 basis points higher if we weren't at 0% and 20% of our renewals.
Juan Sanabria: Great. And then on just the new lease spreads, or rate growth. You improved kind of 30 bps from the fourth quarter to the first, is down 2.4%. But can you give us any color on how that trended through the quarter? Or maybe where April standing today, just to give us a better sense of that -- of the momentum for the new lease rates?
Michael Lacy: Sure. So January, we were negative 2%, followed by February, negative 2% and then March was negative 3%. April is looking very similar to March, just as we, again, transition some of our vacancy to occupancy in some of these harder hit areas. And then after that, I expect it to start actually improving significantly as we go into July -- June and July. As far as renewals go, we averaged 2.7 for the quarter. January was 2.5. February was 2.6. March is 3.0. And going forward, we expect it to be about 50 to 80 basis point increase throughout the rest of 2Q.
Operator: Our next question comes from the line of Alexander Goldfarb with Piper Sandler.
Alexander Goldfarb: Two really quick ones. First, Mike, you mentioned something earlier in your discussion on $15 million to $20 million of savings or improvement NOI. And I think part of that you referenced as maybe it's cost-cutting or maybe it's just employee attrition. But just a bit more color on what the initiative is and the time frame that we should think about that $15 million to $20 million in savings?
Michael Lacy: Yes. Sure. Alex, that $15 million to $20 million is really as it relates to our platform. So Platform 1.0 and again, we started this back in 2018. We will see about 75% of it come to fruition by the end of this year. And then we have about $5 million that would remain in '22 that come from additional cost savings as well as some of our revenue increases based on some of the data science that we're seeing.
Joseph Fisher: I want to point out, Alex. That $15 million to $20 million that we always talk about is related just to the base portfolio that we had back in 2018. Obviously, we've continued to add assets. So the true benefit is above and beyond that amount. But that really gets reflected in the upside that we talked about on new acquisitions in terms of the 10%-plus upside that's reflected in those as well. So there is even more upside from the platform than what we typically quantify.
Alexander Goldfarb: Okay. But the point is that 75% is already reflected in -- by the end of this year, so effectively from your guidance. So there's another 25% of this into next year?
Joseph Fisher: Correct.
Alexander Goldfarb: Okay. Second question is the wonderful joy of New York in rent control. So the good cause eviction legislation seems to be alive and well in Albany, whether or not it passes, we'll see. But with that in mind, regardless of what happens, would you guys think about calling your New York and Manhattan exposure and then increasing in Jersey and Connecticut?
Chris Van Ens: Alex, this is Chris. Let me take a steady, it's a really good question in New York as a part of it, but let me take a step back real quick and provide maybe just a high-level overview on a couple of regulatory topics because I told you over the last year, I've provided a lot of negativity to people listening on the call. I provided a lot of negativity to Mike and his team, which I'm sure they've appreciated. But there's some really clear positives now that we want to make sure people understand.  First of all, it's not really good news to anyone. But clearly, businesses reopening, return to work, vaccinations, continue in earnest across our markets to add varying degrees. And we really do think while people get very focused on things like eviction moratoriums, et cetera, but these will be the biggest drivers of kind of how our business performs going forward. And once again, we continue to see incremental progress with those.  Second of all is rental assistance, and Mike talked to it a little bit in his prepared remarks, but we have been actively pursuing rental assistance dollars whether at the local, state, federal dollars, whatever it is, really since the beginning of the first quarter, and we've seen some success, as Mike talked about, we've kind of recovered about $2.5 million to $2.6 million thus far, which I think is a pretty phenomenal result given the fact that a lot of programs just started opening up in the last month.  Right now, in current application process, about $11 million of our AR is actually an application process. We're not sure exactly what our hit rate on that is going to be going forward, but we feel good about that. And really, all these numbers, you have to remember, before we've gotten most [indiscernible] from California really up to now, it's just been local programs there. So that's kind of on the positive side.  On the negative side a little bit because I said eviction moratoriums. Obviously, we're probably going to see an extension in New York because their program is not up and running yet. We're looking at mid-May there. But I would remind people that we've operated under those for a year now. We feel good about our ability to continue to drive growth even with those restrictions in place.  And then rent control, as you spoke about. We have yet to see if 3082 passes in New York. It really hasn't moved out a committee. I think everyone kind of understands or should be aware of the fact that really is kind of universal back door rent control, just cause eviction. And once again, we'll see where that goes. We had some success this year in the state of Washington, a couple of bills for rent control got defeated.  But really, it's been a topic that is been put on the back burner to a certain extent, I think, as people have focused more on digging out of COVID. So that's kind of just a little bit of a regulatory overview, positives, negatives. Joe can kind of talk about capital allocation in New York going forward.
Joseph Fisher: Alex, just really briefly. Obviously, regulatory is one of the qualitative factors we incorporate into the [indiscernible] process. So New York and some of these other coastal markets don't necessarily screen well on that factor. But May on a multitude of other factors, both quant and qual. But at the end of the day, are we going to sell-out of those markets? No. We want to maintain the diversification. We're not going to run away from just one negative factor when there's still a lot of positives to look to in these markets.  So I think that's one of the keys of diversification. Ability to insulate from the ups and downs that come with each market. And I think you also got to remember the second derivative impact of this. To the extent that it scares away capital from certain markets such as this and new supply and the affordability that comes with that, clearly, supply -- or capital will find a home somewhere else. And you may have supply pop up in the Sun Belt markets as we've seen with the permit data. So it's not a one-to-one relationship of regulatory is bad, therefore, don't invest.
Alexander Goldfarb: Well, that's why I was mentioning Jersey and Connecticut because obviously, it New York becomes rent control, then Connecticut and New Jersey presumably would have accelerated rent growth to offset the lack of turnover in New York as people hold on to their apartment.
Joseph Fisher: Correct. Okay. And we take a look at all those markets. We actually do a subset within [indiscernible] of New York, Jersey and Connecticut. But speaking of New York broadly.
Operator: Our next question comes from the line of Haendel St. Juste with Mizuho.
Haendel St. Juste: I want to go back to the beginning of the call. I'm intrigued by some comments on what you said where some of your renters are coming from 20% to 25% outside of the New York and San Francisco MSA. So I guess I'm curious if more people are migrating back to some of these coastal markets and the number of residents leaving those coastal markets is decreasing, at least in the short term, any reason at all to be concerned about maybe the near-term demand prices for any of your non-coastal markets? And then maybe as you front that you can share some nuggets on where broadly the rent income ratios are across perhaps on your Sun Belt and coastal markets.
Michael Lacy: Sure, Haendel, it's Mike. First, just so I can remember those questions. I'm going to start with the last one. Our rent income hasn't really moved. It's still around 24%. And we screen based on a gross number. And if you recall, our strategy was to keep gross rents high and really use concessions. So it's been nice to see kind of a stabilized number on that front.  In terms of the move-ins and move-outs and where we are with occupancy and demand, we're still coming off of some pretty big lows. So while things are improving, it still has a little ways to go in some of these harder-hit areas. But I'm telling you the last 3 weeks has been very promising. Demand has been stronger than we expected. And again, 1 of those markets that I've referenced earlier, New York had a higher 30-day trend than our current occupancy. So we're actively pushing rents right now to see what we can do.
Joseph Fisher: Haendel, it's Joe. I think also embedded in your question, just on the pricing power risk related to Sun Belt, as you potentially see migration back. I know early in the cycle is kind of topic de jure that everyone was going to result in a mass exodus out of the urban coastal cities. I think there's been enough research now at this point done that proves that didn't really take place. A lot of those individuals simply moved to home, stayed within the markets, moved out to the suburbs. So I'm not sure there's a risk to the Sun Belt in terms of reversion trade. I think the Sun Belt performance relative to the coastal was really driven by a different way of operating. Meaning you keep those states and cities reopen, keeping individuals employed, which I think as long as that continues, which it looks like it will, those will continue to maintain pricing power.  At the same time, it kind of gives us the game plan for what's going to take place in the coast that we're seeing today, reopen, we're going to get the demand. We're going to get the pricing power and rents and occupancy will come surging back and have near-term outperformance.
Haendel St. Juste: I appreciate that. And a bit of a twist to another question on capital allocation. I guess I'm curious on Dallas is in the middle of a pack in your proprietary model. I guess I'm curious what's at the upper end today as you contemplate existing or new markets?  And then the IRRs that you're selling out of that you're underwriting you're selling out places on California. I guess I'm curious comparatively how that compares to what you're buying in Boston and Dallas. And I guess I'm more interested really in what it would take for you to get more intrigued to invest more capital in places potentially like Coastal California or New York, where there are pockets of supply in that that opportunity and some regulatory relief ahead. So just curious on, again, what you're seeing that's attractive in your investment model here today? And then the thinking on places like Coastal California, New York relative to places like Boston and Dallas?
Joseph Fisher: Yes. I think if you look at some of our actions over the last year or so, kind of gives you a sense for what price screen is a little bit higher within our quant and qual process. So seen us adding to DC, so be it Northern Virginia, Suburban Maryland, Baltimore continues to screen well, Philly screens well. You go down to Tampa, where we've added a number of assets, and that market has been absolutely on fire for us.  So it kind of gives you a sense for what screens well. But it really does come down to deal specific given the competitive advantages we have, and the ability to pick up that extra 10%. We'll look at a deal in any market. There is the ability to outperform market average, no matter where we go. So I don't want that to get lost, but we're only going to myopically focus on 5 of our 20 markets. The team here is always looking across the entire portfolio for opportunities to create value. So I don't see that dissipating anytime soon.
Haendel St. Juste: Appreciate that. Any color on comparative IRRs? Or is that not available?
Joseph Fisher: Yes. I mean, when we do our underwriting comparisons, typically, we'll utilize a baseline 3% and in terms of forward market growth, independent of which market it is. And then we'll do a gradient that looks at the best and worst markets for where we think it could outperform and underperform just to scenario analyze those numbers. So the IRR differentials primarily come in through your ingoing cap rate in that analysis, given similar long-term growth profiles that we assume when we do the IRR math. So you're really talking about selling at a 4.25%, and then you saw 3% growth on there and get around the 7% IRR or you go and buy a 4.5% outsized growth for the first 3 years, getting up into the 5.5 range and then steady growth from that point forward.  So you're definitely picking up, call it, 50 to 100 basis points on IRR spreads between the buys and the sells.
Operator: Next question comes from the line of Alex Kalmus with Zelman.
Alex Kalmus: You spoke a lot about the Next Gen program that you guys have developed internally. And obviously, you're into the technology space. I was curious if this is at all licensable and that's a potential ancillary revenue stream you guys have discussed going forward?
Thomas Toomey: We continue to look at a lot of this. I will say that the vast majority of it can be replicated. The challenges might be cultural as well as implementation. And -- but we'll continue to explore any piece of it that is licensable or IP and report on that later.
Alex Kalmus: Got it. And one other quick one. The DCP deals this past quarter had the rate of return around 9%, a little below the average because you have that upside participation. Is that sort of the dynamic, the trade-off there were potentially a little lower return for the upside? Or was there some more competition in the market for pressuring those spreads?
Joseph Fisher: Yes. I think when you look at those, we've talked historically about our ability to bifurcate and work with the equity partner on what may fit their expectations of desire is best. So we're pretty flexible on our program in terms of going 100% fixed rate at a higher coupon or doing a lower fixed, but more of a back end. I'd say, as you look at the deals today, call it, 80-plus percent of that business, as back end participation, which we are excited about given cycle location coming early in the cycle. That should have more back-end participation. The economics overall, I think, are reflective of some of the difficulties Harry talked about earlier in terms of LP capital as well as financing. We're typically underwriting the 13%, 14% IRRs on those versus 11% or 12% pre COVID was our typical deal. And then the optionality, the way we structure these in terms of the timing for a capital event, the ability to have back end participation. Things gives us a lot of optionality down the road on each of these assets as they get through their development and do some process and come up towards maturity.  Ultimately, we'd like to own a handful of these, and it gives us a chance to get to know them a little bit better.
Operator: There are no further questions in the queue. I'd like to hand the call back to Chairman and CEO, Mr. Toomey.
Thomas Toomey: Thank you, operator. And just some quick comments on closing, recognizing we ran a little long today, but I thought it was very beneficial. Again, thanks for your interest and time today in UDR. Certainly, you can see from our tone, our results that we're very excited about our business prospects and looking forward to talking with you more as we execute in this recovery cycle.  And so with that, please take care.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.